Operator: Good day, ladies and gentlemen. Welcome to the Goldcorp Inc 2010 third quarter results conference call for Thursday, October 28, 2010. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Jeff Wilhoit, Vice President of Investor Relations of Goldcorp. Please go ahead, Mr. Wilhoit.
Jeff Wilhoit: Thank you and welcome to the Goldcorp third quarter 2010 earnings conference call. In the room with me today are Chuck Jeannes, President and Chief Executive Officer; Lindsay Hall, Chief Financial Officer; and Steve Reid, Chief Operating Officer. For those of you participating on the webcast today, we have included a number of slides to support this morning's discussion. These slides are available on our website at www.goldcorp.com. As a reminder, we will be discussing forward-looking information that involves unique risks concerning the business, operations, and financial performance and condition of Goldcorp. Forward-looking statements include, but are not limited to, statements with respect to future metal prices, the estimation of mineral reserves and resources, the timing and amounts of estimated future production, cost of production, capital expenditures and cost and timing of the development of new deposits. Forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause the actual results to be materially different from those expressed or implied by such forward-looking statements. Accordingly, you should not place undue reliance on forward-looking statements. With that, I will now turn the call over to Chuck Jeannes, President and Chief Executive Officer of Goldcorp.
Chuck Jeannes: Thanks, Jeff, and thanks, everyone, for joining us today. As you saw in yesterday's earnings announcement, Goldcorp delivered strong financial results in the third quarter driven by continued high gold prices and our lowest cash costs in over two years. Cash margins of $979 per ounce of gold drove record cash flow of over $470 million and a 65% increase in earnings. In light of our solid financial position and confidence in our ability to generate strong, sustained cash flows, our board of directors yesterday approved a 100% increase in Goldcorp's dividend to $0.36 per share of $0.03 per month. We've been anticipating the completion of capital spending and the commencement of cash flow generation of Penasquito for some time. With the successful commencement of commercial operations there during the quarter we're pleased to be able to share the success with our shareholders. On the production side, another outstanding quarter at Red Lake and generally solid performance throughout the rest of the portfolio offset the impact of heavy rainfall at Los Filos and production weakness at Marigold and Alumbrera. Overall gold production this quarter was 506,200 ounces at extremely low cash costs of $260 per ounce on a byproduct basis and $429 per ounce on a co-product basis. With just a single month of commercial production in the third quarter, Penasquito managed to steal the spotlight with a very strong start to its life as a commercially producing mine. The power of Penasquito to positively contribute to our overall financial performance is already evident and Steve and Lindsay will discuss more of the details in a moment. An important theme in 2010 has been the successful execution of our disciplined portfolio management strategy. Put simply, we continually pursue opportunities to strengthen the overall portfolio through the divestiture of non-core assets and the addition of high-quality gold projects. We were very successful in this endeavor during the third quarter with the divestitures in the San Dimas mine and our terrain metals investment. In general terms, the cash proceeds from these transactions, as well as the second quarter sale of the Escobal silver deposit, are available to fund most of the cash component of our acquisition of Andean Resources. That acquisition remains on track for closing in late December. We currently have a team on the ground in Argentina working on transition issues with Andean and preparing to advance the project. We're certainly excited about getting to work on this project, which provides the ability to both enhance our growth in gold production and lower our already low cash cost profile. As I mentioned earlier, one month of commercial operations at Penasquito contributed significantly to our third quarter performance. Total revenues were over $86 million in the month of September while earnings from operations were over $34 million. These numbers include the impact of a disproportionately large amount of oxide gold production, which is typically sold later in each quarter. But production of all metals met or exceeded expectations. Cash costs on a byproduct basis were negative $577 per ounce of gold sold for the month of September and $499 per ounce on a co-product basis. Unit costs for mining, processing and G&A continued to decline according to plan. Construction of the 130,000 ton per day sulfide plant is now essentially complete with mechanical completion of the height and pressure grinding rural circuit and commissioning of that circuit underway. We now continue to ramp up production and we're maintaining our guidance of 180,000 ounces of gold for the year. Positioning Penasquito for full production capacity in early 2011 remains a top priority but we're also making major progress in advancing our next tranche of high-quality growth projects. On our September Canadian asset tour, some of you saw firsthand our progress in developing the kosher project. This is an important part of our Red Lake District optimization efforts and we expect to have a scoping study completed by year-end. An update to the pre-feasibility study for Eleonore will reflect this year's larger gold resource and will also be completed by year end and its becoming increasingly apparent that this project is poised to be another key cornerstone mine for Goldcorp. We also continue to advance our 70% owned El Morro project in Chile, including updating the 2008 feasibility study, advancing permitting and continuing to cultivate key relationships in the local communities and throughout all levels of government. Steve and I were just in Chile reviewing the project with our team there and I'm very pleased with the progress and potential of this project. Finally, we'll also have an initial scoping study completed at Noche Buena which will help us advance the opportunity there to improve our overall goal production profile at Penasquito. We've reaffirmed 2010 production guidance of approximately 2.55 million gold ounces. We expect a very strong fourth quarter but in view of the third quarter weakness at certain of the operations there is some risk in this forecast. On the positive side, in light of the very strong cost performance year-to-date, we now expect to come in below our previous cash cost guidance of $350 an ounce on a byproduct basis and $450 an ounce on a co-product basis. Demand for gold remained very strong in the third quarter as investors continued to seek a safe haven for preserving wealth amid an uncertain economic environment and ongoing currency instability. As investors see greater leverage to hire gold prices I believe we'll see increasing interest in the companies that produce it safely and responsibly, particularly those with proven track records of growing gold reserves and operating in lower risk jurisdictions. Over the past 10 years, Goldcorp has outperformed the physical metal as well as our industry peers by delivering on those very attributes and we expect this performance to continue in the future. Paying a higher dividend, as we announced yesterday, combined with our outstanding growth profile, only enhances that overall value proposition. With third quarter reporting now behind us we quickly turn our attention to completing our 2011 budget, including updated five-year and life-of-mine plans for all of the mines and projects. This is a very exciting time as we work out the details of how all of our growth projects line up to continue to significantly expand our production and financial performance. We look forward to sharing this updated information with all of you early in the New Year. With that, I'll now turn it over to Steve Reid for a review of the operations. Steve?
Steve Reid: Thanks, Chuck. As Chuck mentioned, we saw a consistent production this quarter from most of our mines. Red Lake led the way with production totaling 176,100 ounces at cash cost of just $268 per ounce. The key theme at Red Lake is the increasing flexibility we have to manage our production. We continue to improve the utilization of existing mill capacity by supplementing the ore feed with tons from the lower-grade sulfide and [far east] zones. The 4499 expiration ramp and the connection drift between the Campbell and Red Lake complexes provide the flexibility to move equipment at the lower levels of the mine to develop new production zones and to add gold reserves. During the quarter, excellent expiration results were seen in the deep high-grade zone as well as in the hanging well structures higher in the orebody. Red Lake remains well positioned to achieve or exceed its guidance of 275,000 ounces in 2010. You will have seen in yesterday's release that as many of you requested we've enhanced our reporting for the Porcupine by breaking out the production between the oil pond underground operation, the dome underground and the stockpiles. The backbone of our production at the Porcupine is the oil pond underground operation and work continued there on the construction of the [deep wins] that will help us better access the orebody over the long term both at depth and laterally to new zones of mineralization that we've discovered. These zones, both the (inaudible) continue to return good expiration results. In September we announced the discovery of a new, higher-grade orebody at Musselwhite called the Lynx Zone shown here and our drilling activity in the third quarter at Musselwhite was focused on further defining the magnitude and extent of the zone which remains open updip. It's near our existing underground infrastructure and has the potential to significantly contribute to year-end reserves and to materially enhance the mine's gold production profile over the long term. At Los Filos, rainfall during Southern Mexico's wet season caused dilution of the leeching solution and led to decreased production during the quarter but we expect to recover these ounces in the fourth quarter as the backlog of solution is processed and Los Filos remains on track to meet previous guidance of 300,000 ounces in 2010. Penasquito's mill throughput continued to build throughout the third quarter such that by early September when we reached the 30-day average throughput to 70,000 tons per day we declared commercial production for accounting purposes. But as I've often said, we have in effect been in operational production since January. Within the context of the overall project ramp up we remain very pleased with the pace of progress. The last component of the initial construction process is the high-pressure grinding roll circuit which achieved mechanical completion in mid-October. Commissioning of the HPGRs which are designed to crush oversized material from the milling circuit is currently underway and progressing well and, in fact, we plan to run oil through the circuit for the first time today. This final step will allow us to bring Penasquito to its designed production capacity of 130,000 tons per day in early 2011. At Noche Buena, the nearby satellite deposit, the potential for an additional source of significant oxide gold production took another step forward. The 2010 drilling program was completed in August. Column leach metallurgical testing commenced and an environmental baseline study was completed. This will all be combined with preliminary engineering analyses in the scoping study to be completed by the end of the year. At the second satellite project, Camino Rojo, positive negotiations continue with the local communities for surface rights and exploration. Gold production at Penasquito totaled 44,500 ounces with sulfide production surpassing that from the oxide material for the first time, 25,900 ounces of sulfide and 18,600 ounces from the heat leaching of the oxide cap. Penasquito remains on track towards our previously issued 2010 guidance of 190,000 ounces. At Cochenour near Red Lake, underground development continues and we've now completed more than 18% of the critical path development on the five kilometer high-speed haulage drift that will connect the Cochenour operation with the Red Lake mine. Exploration drilling into the Bruce Channel Deposit continued from the old underground workings at the 2050 level is currently on hold while we work on the Cochenour shaft and head works. The scoping study remains on track for completion by year-end. At Eleonor, after previously completing the pre-sinking during the second quarter, the shaft work in the third quarter focused on the hit frame and hoist house so there was no sinking of the exploration shaft during the quarter. However, full phase sinking is expected to commence in the fourth quarter and proceed through 2011. During the quarter, project permitting activities progressed and the project permit is expected in mid 2011 as previously planned. We also achieved the key milestone that's been several years in the making with the delivery of grid power to the site to significantly reduce power costs and the logistics of producing power. Our exploration drill program continued with a concentration on identifying and defining new ore zones within the hanging wall stratigraphy close to the exploration shaft and the program also focused on the definition of the edge of the main Roberto zone. Results of the hanging wall drilling obtained today have been positive and additional drilling will be completed during the fourth quarter of 2010 to follow up the downdip extensions and the pre-feasibility study is being updated to accommodate this year's larger resource and will be completed by year-end. We anticipate the positive study results will trigger a formal construction decision but, as you can see from the photograph, the site is beginning to resemble a mine already. The EIA process at El Morro in Chile remains on progress with approval anticipated by late this year or early 2011. We continue to meet with key government officials and community leaders to develop strong partnerships. Our team in Chile is currently reviewing the previous feasibility study to update the project capital and operating costs before year-end. Across the organization, we underspent on capital in the third quarter. This does not reflect any change in either priorities or project scope, rather simply the timing of the expenditures. Consequently, the full-year capital guidance has been slightly reduced and may result in a carryover into the 2011 budget year. Also I want to take this opportunity to thank our teams for their continued focus on safety and the local partnerships. Los Filos and Porcupine both achieved cyanide certification. This brings us now to six operations that are certified under the code and we're very proud of our leadership position on this initiative within the gulf sector. With that, I'll turn things over to Lindsay for financial highlights.
Chuck Jeannes: Lindsay, perhaps just if I can correct one thing that Steve said inadvertently. We expect to achieve or exceed guidance of 675,000 ounces at Red Lake during 2010.
Lindsay Hall: Thanks, Chuck. We're pleased to report another strong financial performance with record revenues and operating cash flows for the second consecutive quarter. Our average realized gold price increased by 3% to $1239 per ounce, which more than offset the 2% decrease in production. With our low byproduct cash cost of $260 per ounce we captured 79% of the gold price resulting in almost $470 million in cash flows before non-cash working capital changes in the quarter of $0.64 per share, a 21% increase over our second quarter results. These cash flows funded capital investments of some $238 million made at our mines and projects for the quarter. Also during and shortly after the quarter we received total consideration of some $880 million with the disposition of our San Dimas mine and our interest in terrain of which the cash portion of the proceeds amounted to $446 million. Getting into some of the details of the financial results for the third quarter, we had record revenues of $886 million and record earnings per mine operations of almost $400 million. We sold 568,100 ounces of gold at an average price of $1239 per4 ounce at an average cash cost of $260 per ounce realizing a record per ounce cash margin of $979 per ounce. Cash costs on a byproduct basis were $103 per ounce lower compared to the second quarter of $363 per ounce primarily due to higher byproduct credits and lower YMAD net proceeds payments. An important milestone was Pinasquito completing its commissioning and commencing commercial production on September 1 on schedule and within 10% of our budget. In our quarterly income statement we have recorded one month of financial results for Pinasquito. Our key performance indicators on a cost per ton basis are as anticipated and set up in detal in our MD&A. We continue to see improved economics as ramp-up proceeds. Also, as you know, production from Pinasquito's operations are sold in two concentrates, led and zinc, which are subject to provisional pricing. The provisional pricing impact during the third quarter related to these concentrates sold in the second quarter was a positive $2 million. At September 30 we have the following metals sold in the third quarter subject to provisional pricing: 9200 ounces of gold priced at $1307 per ounce; 1.2 million ounces of silver priced at $22.07 per ounce; 10.7 million pounds of led priced at $1.03 per ounce; and 22.9 million pounds of zinc priced at $0.99 per pound. Regarding the Alumbrera provisional pricing impact to our statement for copper during the third quarter, it also amounted to a positive $21 million. For the next quarter, 39 million pounds of copper priced at $3.64 per pound is subject to provisional pricing. As is our usual practice, you can find all the details of our hedging program as of September 30 in note 10 to our financial statements. For the quarter, adjusted earnings amounted to $231 million or $0.31 per share, a 15% increase over the second quarter. To calculate the adjusted earnings we add back to net earnings from $466.5 million the non-cash foreign exchange loss of $126 million, $15 million of unrealized non-hedged derivative loss, a $20 million operating loss related to terrain, which was disposed of in October, less the gain on disposition of San Dimas of $408 million. Consistent with previous quarters, we did not make any adjustment to adjusted earnings for non-cash stock option expense which amounted to $18.4 million or $0.02 per share. Lastly, just touching on the effective tax rate for the quarter, if one backs out from the book tax provision of $69 million for the quarter, the positive adjustment of $35 million related to the disposition of San Dimas, you'll get close to an effective tax rate for the quarter of 32%, which is our continued guidance for the full year. We ended the quarter with $732 million in cash and cash equivalents and an undrawn $1.5 billion revolving credit facility fully available to us. Under the $1 billion Pueblo Viejo project financing obtained with Baird, approximately $100 million is available as additional draws to fund our remaining planned capital expenditures for the project. We continue into the next quarter with a strong balance sheet and remain confident in our ability to fund development of our mines and projects and the anticipated closing of our acquisition of Andean Resources before the end of the year. Great quarter, really good momentum moving into the fourth quarter both operationally and financially. With that, operator, I'll turn it back to you and open it up for questions.
Operator: Thank you. (Operator Instructions). Your first question comes from the line of Tony Lesiak - Macquarie.
Tony Lesiak - Macquarie: I was hoping you might provide some more detailed disclosure on Penasquito. Now that you have achieved commercial production, can you talk to some of the more specific concentrate terms, TCRCs and participation rates?
Chuck Jeannes: Tony, as we've said all along, and is the case with every company, those specific concentrate terms are subject to confidentiality with our sponsor partners. We've provided -- and it's on our website -- an average of those terms. I think we called it indicative pricing terms and it's got the payables, the per ton both smelter and transportation costs and I think that's very fulsome disclosure and we just can't give you the very specific details of each particular contract.
Tony Lesiak - Macquarie: Now in terms of the percentage of precious metals in the sulfide reporting to the zinc con for the lead con, can you tell that where that was in the quarter?
Chuck Jeannes: I'm passing that one to Steve.
Steve Reid: Tony, I know that the recoveries were reported in the disclosures there and you have them by metal. The thing that we've certainly been clear on is saying that please remember we're near the top of the orebody so we're in a transition between sulfide and oxide, so these are not necessarily indicative of the longer term. But I can give them to you if you like but, as I say, they're listed on the disclosure.
Tony Lesiak - Macquarie: Yes, I mean, they are relatively higher I guess in the second quarter. Have they come down?
Steve Reid: No, generally not. I mean, general zinc recoveries around 61. It was 63 before. Led is up a little at 65 and gold and silver are where we're expecting them. So, no, they're actually performing better than we predicted based on what we had considered a ramp-up as we go through this transition ore.
Tony Lesiak - Macquarie: But those are the overall recoveries. I was more interested in to which con they are reporting.
Chuck Jeannes: We'll dig that out and get it to you, Tony.
Steve Reid: As a corollary to that though, what I can say to you is that the concentrate quality is still sitting right where we expected it to be and within the guidance of what we provided before. We're still seeing a little bit higher silver than we were projecting but that's a good thing for us.
Tony Lesiak - Macquarie: On the unit operating costs, is there any further disclosure you can make in terms of where you see them trending to once you get to full production?
Steve Reid: What I would say is we're obviously looking for them to come down and as we get the throughput rates up that processing rate, for example, it's currently over $6. We want to get it well under $6.
Chuck Jeannes: I think, Tony, we're just working on budgets for the coming year and as we complete that we'll be able to give guidance certainly in the new year with respect to some of our expected costs for 2011.
Tony Lesiak - Macquarie: Well then just finally on the new manto discovery, can you give us some further specifics on that?
Chuck Jeannes: Just generally -- I just talked to Charlie about it recently. On a per ton basis it's about the same value as the discovery that we reported earlier on the other side of the Penasquito deposit. As a general rule -- and we've only got a few intercepts so far -- but it's lower gold and silver and much, much higher zinc. We've got some intercepts up to 16% zinc. So early days, we don't really know whether that is a trend that's going to apply over on the other side of Penasquito or whether it's just indicative of those particular holes. But that's the initial information.
Operator: Your next question comes from the line of Jorge Beristain - Deutsche Bank.
Jorge Beristain - Deutsche Bank: I was really pleased to see the doubling of the dividend and so I guess my first question is to Chuck. Has there been any change in the psychology of how you are approaching your dividend policy now? We understand that you obviously have a lot of free cash flow this current quarter, but it would seem that you're moving towards maintaining a competitive dividend policy vis-a-vis other gold companies and I was wondering if you could talk to that point.
Chuck Jeannes: Yes, actually, Jorge -- and thanks for your comments. We've always thought that it would be appropriate to deal with the dividend after we saw the big investment in Pinasquito get near the end and Penasquito working. It's such an important part of our cash flow for the coming years and important today and growing dramatically over time. So it's not that the policy has changed since the facts surrounding our company's performance that have kind of caught up with our ability to do something with the dividend. Certainly, being competitive with our peers is one factor but more is that based on an ability to pay and the confidence that we have that Penasquito is now essentially done and performing as expected.
Jorge Beristain - Deutsche Bank: Sorry, the second question was if you could just clarify, of your recent asset sales, you mentioned briefly in your introductory comments that there's still cash pending from Terrane. How much cash do you expect to collect in the fourth quarter from the recent asset sales and how much of your recent sales will be held in the form of marketable securities?
Lindsay Hall: Yes, Jorge, it's Lindsay. I think it's around $216 of cash. We've received it already. We closed I think a couple days ago, so that's sitting there. When you say marketable investments, all that cash is sitting in cash or cash like, so none of that has turned into any investments.
Chuck Jeannes: Yes, we received that cash plus about 8.5% of the issued and outstanding shares of Thompson Creek Mining. I don't have that specific number
Jorge Beristain - Duetsche Bank: But that share in Thompson Creek, would that be counted under marketable securities or under long-term investments?
Chuck Jeannes: It'll be under marketable securities when you see the fourth quarter financials.
Operator: Your next question comes from the line of Patrick Chidley - HSBC.
Patrick Chidley - HSBC: I just wanted to ask a few more detailed questions about Penasquito in terms of the recoveries. In terms of gold and silver, you say that you are on track and you're in the transition zone right now. What sort of -- long term what would you expect the sulfide recoveries to be again in terms of gold and silver on the sulfide mineralization then?
Steve Reid: Yes, Patrick, I know that as we've answered these in the past we've always said these things are extremely complex because of which rock type you're talking about and which concentrate you're expecting it to go to. In a general sense I can tell you that the assumptions that we've made and disclosed in the past -- and I’m trying to think of the dates, I think late 2008 thereabouts -- none of those have changed. So, I mean, just quickly if you recall it was quite a table based on the different concentrates and the different rock types and so on and none of those have changed. If you want me to give them to you I certainly can but there's a lot of them. It's more than, as I say, that's what we're building to and as we go through what is, in some cases, partly oxidized material we know that we're not going to get those recoveries, which are based on pure sulfide and so we're still heading towards those and we have no reason to suggest that anything's changing. In fact, the material's floating incredibly well.
Patrick Chidley - HSBC: Sort of another side of that same question then, next year, I mean, when do you expect to get out of the transition zone into pure sulfide and would we then see recoveries higher than where they are in the previous quarter?
Steve Reid: Yes, in general, that is the case. What tends to happen as you would expect with a multiphase pit is the deepest part of the pit will be in the fresher material and then there will be peripheral material where the stages are a little less advanced where we'll have some of that higher up contact material.
Patrick Chidley - HSBC: Just a couple of quick ones -- did you use a stockpile this quarter to supplement the sulfide feed?
Steve Reid: We may have but it would have been very minimal if at all, so not significantly.
Patrick Chidley - HSBC: Just seems that the tons processed were greater than the tons mined. It seemed to me you added in the sulfide and the oxide together.
Steve Reid: Yes, we are adding them together but yet there is stockpile material which we use for flexibility.
Patrick Chidley - HSBC: Then just finally on CapEx at Penasquito, seems like you're all but done on the $1.6 billion of CapEx for the project. You're basically done in terms of all the equipment on site and ramp-up for the HPGR. What remaining capital would you say going forward into next year, next few quarters I mean? Is there quite a high level of sustaining capital in the first year or so or is it going to drop off very much?
Steve Reid: The most significant thing coming in terms of capital is the in-pit crushing and conveying, which is going to be taking place over the next couple of years and, in total, that's round numbers $100 million to $150 million. But that's spread over a couple of years. So other than that, no, we're largely done and we're actually looking to focus on running what we've built.
Operator: Your next question comes from the line of Greg Barnes - TD Newcrest.
Greg Barnes - TD Newcrest: Chuck, you mentioned in your comments at the beginning of the call about Eleonore, your increasing confidence as becoming a key cornerstone mine for Goldcorp. What are you seeing there that's making you say that?
Chuck Jeannes: Well, Greg, as we've been talking about for the last little while and I think the way I described it last quarter it was that we didn't really do a very good job of explaining early in the year that we announced to you a pre-feasibility study that had an average of 330,000 ounces of gold production over a 16-year mine life with cash costs below $400 an ounce on a co-product basis. There are no byproducts. So that's a nice mine. But that was based on a generation ago mineral resource of about 5.6 million ounces. At the same time we were doing the feasibility study we continued to drill and continued to remodel the resource and at year-end we were at a total resource of above 9 million ounces. So the effort throughout this year has been to update the feasibility study to accommodate that larger resources, and that means very significant work on the mine plan itself to arrange for mining and processing more tons of material. So my point is we don't have the numbers yet. We're working on that. We're going to be finalized at year-end and try to get this to our board as soon as possible. But we certainly expect the numbers that you saw earlier to be materially improved.
Greg Barnes - TD Newcrest: Just a second quick question -- your share holding in the [Cisco], do you see that as a strategic position now or is that something you would look to sell?
Chuck Jeannes: Well, I don't try to put labels on things. It's an interest that we've made a lot of money on. [Cisco] continues to do very well and we're pretty happy with our investment there.
Operator: Your next question comes from the line of Anita Soni - Credit Suisse.
Anita Soni - Credit Suisse: First question is for Lindsay. The provisionally priced lead amount, I missed that. It was at $1.03 but how much was it in millions of pounds?
Lindsay Hall: Yes, you want the pounds, Anita, right?
Anita Soni - Credit Suisse: Yes.
Lindsay Hall: It is at led we had 10.7 million pounds of led and 22 million pounds of zinc.
Anita Soni - Credit Suisse: At $0.99, right?
Lindsay Hall: That was what, Anita?
Anita Soni - Credit Suisse: Sorry, zinc was at $0.99?
Lindsay Hall: Zinc was at $0.99 and led was at $1.03.
Anita Soni - Credit Suisse: Second question, with respect to the Andean acquisition, how much of the $1 billion that's available for cash payout has been taken up?
Chuck Jeannes: None. That decision, that election gets made by shareholders after the vote, the shareholder vote that takes place and then court hearing that will happen in early December. So there's a period following that where the election takes place. So it's not like a takeover where people can tender their shares along the way. It's more in the form of what we would call a plan of arrangement where it all happens following the shareholder vote and court approval. So just to clarify there, Anita, I said in my comments that we've generated cash that nearly pays for that entire $1 billion payment that is available for payment but until the time comes we don't know whether people will elect shares or cash and that, of course, will largely depend on how our shares are doing in the meantime and, therefore, the Andean shares on an exchange ratio basis.
Anita Soni - Credit Suisse: Secondly or -- sorry, lastly, silver recoveries. I do know -- this is for Steve -- I did notice that the recovery rates on silver were trending down I think over the last three quarters I think at 55%. What is that attributed to and do you expect that to reverse?
Steve Reid: You're talking Penasquito here?
Anita Soni - Credit Suisse: Yes, Penasquito, sorry.
Steve Reid: Yes, basically there's nothing of concern to us there. In fact, as I say, we're actually hitting more silver than we were expecting in the concentrate, so I think it's a function of there being more silver and it's a function of the grade being up in this ore that we're seeing.
Anita Soni - Credit Suisse: So is that supposed to reverse around at any point or should we be seeing more actual silver actually report to the concentrate later?
Steve Reid: Yes, we're actually expecting that -- and much as I've explained as we're getting into the fresher ore, yes, we are expecting what we currently have as recovery rates to increase.
Anita Soni - Credit Suisse: Then lastly, reserve replacement as we go towards year-end and looking towards February, how do you see reserves panning out for this year in resources and how are they growing and will you be able to replace reserves?
Chuck Jeannes: Yes, Anita, again, we're just in process of calculating reserves based on drilling through the year and that will be coming out, as always, in late January, early February. I can tell you that we're feeling pretty good about it right now. We've had good success, as you're aware, at Musselwhite. We've had continued strong success as Los Filos. Actually, certainly the Red Lake high grade zone, both extending the zone at depth and laterally back up above the current mining levels and, of course, we'll have El Morro in to reserve this year for the first time. But even without regard to acquisitions I'm somewhat confident that we're going to be able to replace reserves on a company-wide basis.
Operator: Your next question comes from the line of Steven Butler - Canaccord Genuity.
Steven Butler - Canaccord Genuity: Question for you guys on Marlin, Inter-American Commission on Human Rights and the administrative process performed by the government. You alluded to I think a 120-day process. That timing I guess, Chuck, would put you to November 21 unless you think there is a date before that. Is that sort of on track for the delivery of a view from the government by mid to late November and we should therefore expect hopefully a clearing of the air on Marlin at some point thereafter?
Chuck Jeannes: Yes, as best we know, Steve, it's on track. It's not the kind of thing that the government is updating us every day in terms of how they're doing. That 120-day estimate was provided to us at the beginning of the process. I can just tell you that we continue to work very well with the government, very collaboratively. They're interacting with the commission itself, the Inter-American Commission on Human Rights and we think that that's gone positively. Nothing has changed in terms of the initial reaction that you got from the government that was publically stated by the president that they don't believe there were negative impacts to the environment or human health as a result of our activity. So we continue to work very hard on that issue and would like to get some resolution as well.
Steven Butler - Canaccord Genuity: Lindsay, going forward, you will equity account I think for San Dimas and will you show the 34% or 36% of production from San Dimas in your sort of consolidated production tables but simply equity account for the earnings from San Dimas?
Lindsay Hall: We'll certainly equity account for San Dimas. I’m not sure that we'll show the production from San Dimas in really what you are getting at, Steve, are guidance. So, no, as you saw in this quarter we've excluded anything to do with [primarily] sales that would constitute and equity portion of it. So the answer to your question is yes on equity accounting, no on recording its production.
Operator: Your next question comes from the line of John Bridges - JPMorgan.
John Bridges - JPMorgan: It may be a dumb question but I was just looking at your slide 24 and you helpfully break down the revenues on a percentage basis. But if I apply those to your site costs, then the costs seem to be skewed towards the base metals. There's something different going on there. I wondered if you could give us a bit of guidance as to how you can allocate costs in the co-product method.
Chuck Jeannes: This is in our slide, John, the byproducts and the co-product methodology?
John Bridges - JPMorgan: Yes, slide 24.
Chuck Jeannes: Yes, all that's happening there, John, is, as you know, the industry is that you just use gross revenues. So if you take the percentages that's the gross revenue that we're showing you that's being allocated. What we buried in there is the offsite costs and the 86, so you have to remove the offsite costs of the 86 in order to get the percentages working for you. But, for you, the percentages are what you want to use and that's the true gross revenues that we're using to allocate the cost.
John Bridges - JPMorgan: So the site costs are split on the revenues as given and then the off-sites are -- ?
Chuck Jeannes: Yes, all we're doing, John, is in the 86 we've netted the site costs in there but, yet, as you know, when you allocate on a co-product you exclude the effect of TRCs in allocation of those accrual costs against using the revenues to allocate the cost. It's a matter of trying to match the MD&A on that table with our preferred -- the industry-wide method of allocating costs, that's all.
Operator: Your next question comes from the line of David Christie - Scotia Capital.
David Christie - Scotia Capital: Just a quick question -- you hit another mantle on the other side of Penasquito pit and you have some pretty good ones on the opposite side. What is sort of the plans? You talk about it sort of supplementing production at some point? How are you going to get there and how quickly will it do that?
Chuck Jeannes: Yes, it's not something that's going to happen, obviously, very quickly, David, because we'd have to build a shaft, an underground infrastructure and the like. Our goal now is to continue drilling and try to define enough of this material that we can then get the engineers to work and start putting together a plan. Steve?
Steve Reid: Chuck and I just said that initially the mantles were relatively small, albeit very high in value and we expected them to come near the end of the mine life. As we look now and start to think about a more significant contribution from them given that there's a potential for some sort of block caving underground operation already below the pit, the combination of the two is actually bringing it forward in our thinking and if the mantles are larger. So it's something that once we're now operating we'll start to look at the underground in more detail and see if we can bring it forward.
David Christie - Scotia Capital: One other sort of deposit you're looking at is the Camino Rojo there. What is the sort of plan for that as far as timing right now?
Steve Reid: We are looking to be exploring as soon as we possibly can. What we need to do, however, is come to an agreement with the local community there and there are a number of residual issues that we're still working through from the previous owners. But it's going very well but we're looking to be exploring through next year.
David Christie - Scotia Capital: So these are the (inaudible) the landowners?
Steve Reid: That's correct.
Operator: Thank you. There are no further questions at this time, so I will return the meeting back to you, Mr. Jeannes.
Chuck Jeannes: Thank you. I understand that the link to the slides was apparently not working for some of the viewers on the call and I apologize for that. Those slides are available on our website and certainly apologize for the technical difficulties and you not being able to follow along real time. So with that, thanks, everyone, for joining us today. As you've heard, we've got a significant amount of news flow coming over the next few months around our new projects and 2011 budget and new five-year plan, so stay tuned and we look forward to sharing our progress with all of you. Thanks for your continued interest and support. Good-bye.
Operator: Thank you. The conference call has concluded. You may disconnect your telephone lines at this time and we thank you for your participation.